Massimo Reynaudo: Hello, everyone. Welcome to UPM's Quarter 2 2024 Results Webcast. My name is Massimo Reynaudo, and I am the CEO of UPM. Here with me is Tapio Korpeinen, the CFO.
Tapio Korpeinen: Hello all on the line.
Massimo Reynaudo: We'll start by discussing the quarter 2 results and the outlook for 2024, and then we'll cover a few strategic steps we have taken to accelerate our future growth. In quarter 2, our comparable EBIT increased by 60% from last year, in line with our expectations. To put this in the proper perspective, there are 3 main elements to look at. The market situation is the first. The demand for our products has clearly improved from last year. Although the recovery moderated somewhat in quarter 2 after a strong growth in quarter 1. The second element is about our transformative investments. The Paso de los Toros pulp mill reached full capacity and reached it already before its scheduled maintenance shutdown in June. This gives a good starting point into the second half of the year. The third element is some time-related element. Quarter 2 included an unusually high concentration of maintenance activities, which have been holding back our performance in the quarter. This being completed, we are now in the position to serve our customers in the second half of the year operating at full capacity. Let me illustrate these 3 points one by one, starting with the market situation. The demand for our products has improved clearly from the low levels seen around the mid of last year. In the beginning of this year, the growth of the demand accelerated in most of the markets on the back of a healthy consumers demand and some restocking after the heavy destocking of last year. During quarter 2, the demand development moderated but continue to be clearly more positive than last year across numerous segments. As examples, the global pulp demand was good in quarter 2 and was recovering well in Europe. Pulp prices were increasing and the price development was further supported by global supply restrictions. Equally, the demand of self-adhesive labels and specialty papers was significantly better than last year, but more stable sequentially from quarter 1. The demand for communication papers continued to increase from last year in the first part of 2024, but more stable, again, sequentially in quarter 2 compared to quarter 1. Plywood demand was seasonally better in quarter 2 as well. But on the other hand, the market for renewable fuels in Europe continue to be soft in quarter 2 like it was in quarter 1. The second point I mentioned in my introduction was about the new Paso de los Toros pulp mill, reaching full run in quarter 2. Specifically, the production reached nominal capacity for a full month already before its first scheduled maintenance shutdown in June. Then the 2 weeks maintenance shutdown went according to the schedule, and now the mill has moved from ramp-up to regular production. This is a key milestone and we will now be in a position to operate at full capacity from now on, while we will continue optimizing the whole business platform and cost base in Uruguay. We have now 60% of our pulp capacity on a highly competitive and productive plantation-based model in Uruguay, where wood costs are low and fully under our control. The third point I mentioned was about an unusually high maintenance activity in quarter 2. Maintenance is part of the normal run of a business, and typically, it is not spelled out as maintenance activities typically distribute more or less equally or evenly during the year. But for a number of specific circumstances, we ended up having 3 large pulp mills and the 3 nuclear power plants, all undergoing maintenance shuts during quarter 2. The impact of these shutdowns totaled to €130 million just in quarter 2, that would be €140 million if we include also the impact in quarter 1. That is the sum of the fixed cost associated to the maintenance and the revenues lost during the stop of these activities. The positive aspect of this is that now we'll be able to run at full capacity for the rest of the year. Another exceptional aspect that impacted the first half of this year has been the 4 weeks of political strike in Finland. We estimate there are negative profit impact in about €40 million across the 2 quarters, but with the main part being in the quarter too. In H2, in the second part of this year, we do not expect this kind of events holding us back. Now I will hand it over to Tapio for some more comments and details on our quarter 2 results.
Tapio Korpeinen: Thanks, Massimo. So here, we have the EBIT bridge sequentially and year-on-year. And starting now on the right-hand side, comparable EBIT in the second quarter compared to the first quarter this year. There, you can clearly see the impact of the high maintenance activity Massimo discussed with lower delivery volumes and €86 million higher fixed costs sequentially. On group level, sales prices largely offset changes in variable price cost -- variable costs. Then on the left-hand side, we show the second quarter EBIT development year-on-year. In this comparison, the positive impact of decreased variable costs outweighed the negative impact of lower sales prices. Delivery volumes grew clearly driven by recovery in the product markets and then also by the ramp-up of Paso de los Toros mill. Fixed costs were €5 million lower than last year, which is a good achievement given the high maintenance activity. Then looking at the business areas, starting with fibers. In fibers, comparable EBIT improved from last year and remained broadly stable compared to the first quarter. Average pulp sales price increased 8% from last year and 12% from the first quarter of this year. Deliveries of pulp grew by 16% from last year. But sequentially, from the first quarter, decreased by 5%, positively impacted by the ramp-up of Paso de los Toros, but then also held back by maintenance. And as mentioned, 3 pulp mill shutdowns impacted the second quarter with a total impact on the bottom line of €100 million. Then in Energy business area, we had a weak quarter seasonally. Electricity prices being low, and then also impacted by the high maintenance activity in the nuclear power plants. In the second quarter, all 3 units at Olkiluoto nuclear power plant had their scheduled maintenance shutdowns impacting the quarter by €30 million. Raflatac continued successful margin management in the second quarter. Demand for labels in Europe was 23% higher than last year and 4% down sequentially from the first quarter. Specialty Papers delivered good results, taking into account the higher pulp costs. Demand for specialty grades was good, whereas demand for fine papers in Asia stabilized during the quarter. Communication Papers profitability decreased in the second quarter due to lower delivery volumes, which were partially impacted by the political strike in Finland. Margins were burdened as fiber cost increased and the increase is materialized more quickly than paper prices increased. The Plywood business continued steady performance in a seasonally good quarter. The EU antidumping measures on the imports of birch plywood from Russia entered into force and had a positive impact on the European market. Then looking at other operations. The performance of our biofuels business remained at the level of the previous quarter and weaker than last year. The European market for advanced renewable fuels continued to be soft, impacted by low-priced fuel imports from China and upstream emission reductions from outside of Europe. Last week, the EU Commission announced it will impose provisional anti-dumping duties on Chinese biodiesel from mid-August onwards. And then there is a separate process going on investigating this upstream emission reductions traded in the market and some of these appear to be fraudulent and need to be corrected. Such processes are welcome to start improving the balance of the renewable fuels market and also to strengthen the credibility of the European regulation for reducing emissions from traffic. In the first half of the year, biofuels in terms of performance was somewhat on the negative side on comparable EBIT level. This is reflecting the current short-term turbulent market conditions. And this also represents majority of the change in the other operation's result in the first half of the year as compared to last year first half performance. And in the first half of last year, the biofuels performance was very attractive. However, biofuels now only represents only a minority of the total negative EBIT in the other operations. Then biochemicals, which is also part of the other operations today. Biochemicals is preparing at full speed for the start of production at the end of the year. But that is not all. We are not only investing in a new biorefinery production unit, but we are launching a complete new business. That means that we currently have most of the people, functionalities and costs in place for a complete business waiting for the start of production and launch at the end of this year. Then looking at the finances and balance sheet. Financial position continues to be strong for UPM. In the second quarter, our net debt increased somewhat to €2.763 million and net debt-to-EBITDA was 1.64x. This is impacted by the fact that during the second quarter, we paid the first dividend installment for the year 2023, totaling €400 million. And this slide presents our outlook for 2024. The full year outlook is unchanged. We expect higher comparable EBIT than last year, supported by higher deliveries, the ramp-up of Paso de los Toros and lower fixed costs. Here, we also introduced an outlook for the second half of the year. We expect second half comparable EBIT to increase from the first half of this year. This improvement is expected to come especially from fibers with the pulp capacity fully available and pulp price is currently at a higher level than at the time of the start of this year. For further color, we highlight here that our first half results were impacted by high maintenance activity and by the political strikes in Finland, as Massimo already discussed this impact or this effect on the first half of the year being in total €180 million. We expect no such event for the second half of the year. Furthermore, we expect that the customary annual energy-related refunds will materialize in the fourth quarter, let's say, having a similar effect that we have had in the previous year, for instance. So now I'll hand over to Massimo for some steps we have taken to accelerate growth and to safeguard competitiveness.
Massimo Reynaudo: Very good. Thank you, Tapio. Well, a significant fact of the second quarter has been the positive outcome of the negotiation with the employee representatives in Finland. Through these negotiations, we reached agreement on 5 new differentiated and business-specific CLAs. This is definitely a positive achievement as the business-specific terms agreed to support the long-term competitiveness of our Finnish operations. The validity of these CLA agreements is 2 years. In May, on the other hand, we have announced plans to close the Hürth newsprint mill and 1 fine paper machine, paper machine #3 at the Nordland Papier, both in Germany by the end of this year. Both mill belongs to the Communication Paper business area. The plan once implemented, will decrease our communication paper capacity of about 600,000 tonnes or 12% of our total capacity and will result in annual fixed cost savings of €45 million. These initiatives comes from the need to adjust the capacity to the new customer demand and help ensuring the continued competitiveness of the other assets and a good cash flow generation of communication paper in the future. But today, we also announced the acquisition of Grafityp, a Belgium-based company, serving the graphic solutions market. The graphics global market is a highly attractive market. It has a size of approximately €4 billion and it is estimated to grow by about 4% to 5% per annum. This is an adjacent synergistic market to the self-adhesive label market where we have a large presence already with Raflatac. Typical graphics applications include indoor and outdoor advertising like for example, signage and vehicle wrapping. Raflatac's new graphic business has been initially established after acquiring AMC AG and its graphic business in 2022. This new acquisition will complete the product offer so that we can now be a one-stop shop solution for graphic's customers globally. Therefore, leveraging Raflatac's global scale and infrastructure, today's acquisition will accelerate Raflatac's growth, and strengthen its competitive position further in this attractive business. On a broader scale, this will grow the weight of Raflatac a good margin and a high return on capital business in the UPM portfolio, contributing to our strategic ambition of generating a balanced profitful growth across all business cycles. Today, we have also given an update on the planned biofuel refinery in Rotterdam. The major part of the basic engineering has now been completed. The concept includes a new UPM proprietary technology, enabling the processing of a mix of feedstocks coming from our own value chain. We believe that competitively sourced UPM-integrated feedstock coupled with distinctive technology represent the base for a profitable business case. The technology we did choose has been validated at a demonstration scale. Next, we will focus on testing this new technology at a larger scale and securing the feedstock supply. This is expected to take approximately 2 years before we would be ready for the potential investment decision. With this, we reconfirm our strategic interest for biofuels. The future demand growth for advanced renewable fuels remains attractive. And a differentiated competitive and sustainable feedstock range unique to us will be the key to ensuring profitability over market cycles and potentially regulatory developments. Finally, our Biochemical business is getting close to the start of the production of the refinery in Leuna. With it, we will enter in the market of chemical products with a distinctive and unique value proposition based on supplying low CO2 emission products based on renewable, wood-based alternative feedstock, alternative to fossil-based products. The commissioning of the refining in Leuna is proceeding at full speed toward production startup that we expect happening by the end of this year, as previously communicated. The operations team and business function teams are all in place and the core processes required to run the business have been established. The commercial interest for our products has continued to be high and the opportunity pipeline is robust. The refinery will produce a number of products mainly or mostly glycols and renewable functional fillers. In the past months, we have announced a number of customer agreements and partnerships for the glycol products in segments like beverage, textiles, coolants and others. In June, we announced a partnership with the Nokian Tyres which marks an entry in the large volume tires market, which is key and critical for our renewable functional fillers' products. So bottom line is that we are all looking with optimism to this next phase that is approaching. And then finally, I'd like to remind you all our upcoming Capital Market Day in London on the 5th of September. Myself and our group executive team hope to see you there to discuss our UPM future growth and ambitions. So please go to our website at upm.com and register if you have not done it yet. And this concludes the presentation. So dear operator, we are ready to take the questions from the participants.
Operator: [Operator Instructions] The next question comes from Linus Larsson from SEB.
Linus Larsson: I'd like to start on the other line actually. And if you could maybe shed some more light on how to think now going into the second half of the year. If you could please comment separately on the trajectory of biofuels profitability, your forest EBIT, including the revaluations, which were quite significant on the negative side in the second quarter? And also maybe the restructuring within biocomposites, whether that had a meaningful impact in the second quarter, whether there is some improvement potential in the second half, please?
Massimo Reynaudo: Okay. So thanks for your questions. First of all, you're touching upon different points. I would say -- I will comment on the restructuring for biocomposites and biofuels and I will let Tapio to comment on others and the valuation of forest. So let me start from the bottom and the biocomposites. Yes, you -- the point you're raising refers to the, let's say, our decision to discontinue this business. This has been, I would say, a nice business. However, over the time, it has not succeeded in building a scale despite being an interesting business. So this has led to the decision to discontinue this business having in our pipeline a number of other investment opportunities in business with higher potential. Because these are not -- this business has not succeeded to be able to scale in the past has not built revenues and profit on, I would say, any meaningful level so to consider significant impacts in quarter 2 or in other quarters, okay? So this is about biocomposites. Then about biofuels, I think Tapio has commented earlier on, the fact that the current market situations or at least in the first part of the year, has been particularly challenging on the back of, let's say, chip imports from Asia, mostly from China and these upstream greenhouse gas certificates, which depressed prices further. Of course, future is hard to predict. But coming back to what Tapio's mentioned, is a recent, let's say, indication from -- sorry, this recent information that anti-dumping duties will be applied starting in August. The range is variable depending on the different subjects, but these duties range between 12.8% and 36.4%. So they are material. They can be material. And therefore, this can have an impact on those imports and ultimately lead into a better rebalancing of the market. And then again, I'm kind of repeating but also underlining a point that Tapio mentioned before, beside that or on top of that, there are, let's say, upstream greenhouse gas reductions claimed outside Europe. There is an investigation ongoing because that can be -- some of them can be illegal, so should this be proved then determined action, this will again represent a tailwind for this business going forward.
Tapio Korpeinen: Maybe on the other points of your question, let's say, other than what Massimo already went through there, I wouldn't sort of kind of predict here any kind of events otherwise in this area, we will then see later on in the year what the parameters for forest valuation will be. But if you look at the actual -- so far, actually, while there has been a change in valuation then at the same time, it's being balanced by higher EBITDA generated from harvests of our -- on forest lands, which were sort of seasonally high during the quarter. So if you remember, there's a kind of a balance always, we have some growth in our forest but then on the other hand, we also harvest which depletes then some of the inventory and those kind of 2 components make the net effect from our own forest operations and no sort of material change actually on that net basis between first and second quarter. And as far as the biocomposites are concerned as we are detailing in the report, the sort of restructuring charges have been taken as part of the clean EBIT or as items affecting comparability than otherwise in terms of the kind of results going forward, the sort of ongoing business impact on these other operations has not been material.
Linus Larsson: Great. May I just add that regarding Leuna, you're -- as you said, carrying a bit of costs already for the organization, various parts of that business already in place without any sales. Could you give us any sense of timing and pace as to how you expect this business to be ramping up in 2025 and beyond? What's the nature of this business? What are your expectations in terms of business ramp up?
Massimo Reynaudo: Okay. Yes. As I said earlier, we expect to start production by the end of the year. But at the same time, when it comes to the ramp-up, it's important to remind, this is a refinery. And the typical ramp-up curve of a refinery is typically longer than a ramp-up curve of a pulp mill, just to provide a benchmark and reference. Beside that, this is a completely new concept. First type of refinery of this kind in the industry. So we want to stay prudent in indicating, let's say, more detailed time line when it comes to the ramp-up. Of course, we have all the interest in ramping up it as soon as possible, but it will take time, yes. Yes. So this, I believe, was the question. Was there anything else in the question that I missed.
Linus Larsson: No, that's correct.
Operator: The next question comes from Robin Santavirta from Carnegie.
Robin Santavirta: Yes. Can I ask about the Uruguay platform and the cost per tonne outlook for H2 in that market. Should we expect it to start to approach close to the $300 per tonne sort of level? Or is it expected to remain clearly above that now in H2? Related to that then, what are the levers that would, from the end of this year, continue to drive down cost, but on -- in production in 2025 or 2026?
Massimo Reynaudo: Okay. Okay. When it comes -- thanks for the question, Robin. When it comes to the Uruguayan platform, we have indicated positive and earlier on that we aim to a cash cost of $280 per tonne. That is our ambition. And that is a target we have set to ourselves, in the reality, not just for Paso de los Toros, but for the full platform, which includes, therefore, also the Fray Bentos mill. The reason I'm mentioning that is because, for example, with the start-up and the ramp-up of Paso de los Toros, we have had already cost improvements for Fray Bentos because, for example, we have been able to distribute a certain amount of fixed cost. We are in a position now to optimize the management of plantations and a number of other things. So Paso de los Toros is driving benefits, cost benefits also for the full platform, not per se. Now where we stand with it, we set ourselves as a first objective to reach the nominal capacity as Paso de los Toros -- in Paso de los Toros, as a prerequisite, then to implement a number of process improvement and fine-tuning that we'll continue to improve the cost going forward. But equally and beside that, we are now -- we have started to operate at the beginning of April, the railway connection between Paso de los Toros and the terminal in the port of Montevideo, which is ramping up and will reach a regime by the end of this quarter. So this is just to say that the cost base is constantly evolving. It's evolving down, I would say in a significant way. We are not anyway in a position right now to be willing to open up much more on that given the number of variables in play. But, one, our ambition stays high and above or I would say, below USD 300 per tonne that you mentioned, and we are taking important steps in reducing our cost base over there. But let me also underline that our cost base now, as we speak, is already one of the most competitive globally. So that is why looking into the next half of the year, having full capacity available and a very competitive cost base, well, we look at it with some positiveness.
Robin Santavirta: Can I ask about the Finnish pulp mills you have still some more than 2 million tonnes of pulp capacity in Finland. And it's obviously very difficult for us to sort of understand what kind of margin level profitability you at the moment are generating in Finland given that we have now the new mill and actually 2 mills in Uruguay and the start-up curve and mill maintenance and so forth. Is there some way you can describe what kind of profitability are you generating at the moment in Finland with the current quite high pulp prices, but obviously also the high wood cost?
Massimo Reynaudo: Yes. Well, your question or the statement, which was the preamble to your question described well the situation, wood costs are high and they continue to grow during the second quarter in Finland, I would say, in the entire Nordic platform. I would say, good pulp prices have supported the profitability of that platform. But surely, costs are high. I would say that the situation we are confronted with in the Nordic countries and Finland being part of that is a structural situation of lack of wood ever since the embargo to Russian imports and the growth of internal demand due to investments from some of our peers. And the structural demand will be solved only with structural decisions or activities. By that standpoint, we have large assets and pretty efficient assets. So we are not immune from the challenges there, but we are in a relatively good position in that environment. Much more on margins. Well, they said they depend on wood cost but it will also depend a lot by price evolution. So I would be reluctant to provide anything more defined at this point in time given the potential volatility there.
Robin Santavirta: Massimo, can I ask this way, were your finished pulp mills last year at the bottom pulp price set up, were they still EBIT profitable?
Massimo Reynaudo: Yes, they were.
Operator: The next question comes from Ephrem Ravi from Citigroup.
Ephrem Ravi: Three questions. Firstly, on CapEx. After Leuna, there are no big projects in the pipeline before the Rotterdam project potentially that it looks like the material investment is at least 2 years away given your further comments on further studies being required. Does this mean that the CapEx will come down to the €300 million sort of level in 2025? Or is there something that is going to keep that higher than that? Secondly, again, on Leuna, I understand it's a longer ramp up, but you had mentioned a 15% ROCE before that. Does that kind of return still hold at current biochemical spot prices if the -- after the full ramp-up. And last question, on the self-adhesive labels in Europe chart that you put up to illustrate the destocking. When there's a destocking, one would expect sales to recover somewhat close to where it was in the peak in the restock. The chart indicates that it's basically at 2014, 2015 levels before ticking down again last quarter. Does this mean that the market is plateauing out in terms of a restock at these kind of levels?
Massimo Reynaudo: Okay. Good. Thanks, Ephrem, for your questions. The first question about CapEx and CapEx needs for the future. I would -- this is what -- and what we invest upon or how we will support our growth ambitions for the future is something we would expand or we will expand some more in our Capital Market Days meeting in September. But actually, I would say the level of CapEx you have indicated -- CapEx need you have indicated is the normal, call it, burn rate or CapEx need to maintain our current assets going. So that is, I would say, the very minimum. But we may have, let's say, we may be pursuing growth opportunities beside and on top of large investment or investment in large mills or we think to couple potentially the 2 elements. But let me -- let's discuss this in some more depth and as part of an overall strategy view at the beginning of September. Then when it comes to Leuna, the return on capital indicated earlier on to be 14%. I would say, yes, the indication holds that 14% is a return on capital target we set for all our capital-intense businesses and this biochemical business is definitely one of them. I would say it's a target we set for the business. Now if we talk specifically about Leuna, being the first investment in that space, that came in with, I would say, some structural start-up cost that will not repeat in potential new investments in this space. And then, of course, it came burdened by own specific and extra cost. I'm referring here to the fact that the CapEx ended up being higher than the original estimate. So we definitely hold our guidance and ambition for the biochemical business over time. It's not something we will be reaching with Leuna day 1, but it's definitely what we aim to going forward and toward the end of the ramp-up. Finally, the question about the self-adhesive demand evolution. I don't have the graph in front of me, but I believe that the absolute peak in the self-adhesive demand was reached sometime around 2022 or something like that. Now it is settling down to a level which is around 2018, 2019 level. But I would say that potentially, the peak at the time was impacted by some overstocking linked to all the logistic disruptions and dynamics, which have characterized 2022. And potentially today, it's not yet reflecting the current and future potential of the market. So we believe that upon the current base beyond the kind of settling that you've seen in quarter 2. Over the midterm, at least we will resume, we will start to see again a growth profile, and it should not take too long before it will reach levels reached before because the fundamentals of the consumer demands that did drive it in the past beyond the inventory level are not changed.
Operator: The next question comes from Ram Kamath from Barclays.
Ram Kamath: I have a couple please. The communication paper volume has declined by around 9% for the first half of this year. I understand that political strike has an impact on it. But excluding that, could you help us to understand what is the planned utilization for this quarter because implied utilization looks like below 17 now at the moment, even further down from 1Q. So just want to understand from that. And because your operational performance is set to improve in the second half of this year due to the various reasons that you have mentioned and your investment in biofuel project is now delayed, I would like to understand what your -- what is your capital allocation strategy looking from here. Do you plan to increase shareholder distribution or possibly you look for the opportunity inorganically because just to highlight that one of the large pulp producer had -- was looking to acquire packaging companies. So do you have any such plan to integrate your business or looking for a new opportunity in different field?
Massimo Reynaudo: Okay. Yes. Thanks for your questions. Let's go sequentially. Yes, communication paper volumes have declined. The demand on the market is now well below what it was 1 year ago, the decline being massive. And therefore, operating rates across the industry have been under stress. And we have not been, let's say, seeing a different reality from the industry. We don't know the operating rate of others, but we don't have reasons to believe we are performing substantially different from that. But this is actually the reason for which we have announced this decisions of stopping production in Hürth and stopping, which is about the uncoated product grades and then stopping this line in Nordland, which is about the fine paper grades which objective is to bring our -- is to transfer volumes from those assets to others, which are more cost efficient and restoring an operating rate that is efficient. So I wouldn't be able at this point in time, don't have the data with me to provide any more specific indications about operating rate, if not that with this decision, we are going to be operating our assets in that space in an efficient way. Then coming to your second question about CapEx strategy. I would say that we will consider inorganic opportunities. One of them, we have just talked about earlier on in our call, expansion in this graphic market space. So yes, we consider them part of our toolbox going forward. Where to, in which area? Well, as always, we will do things -- we will allocate our capital with a lot of discipline, ensuring good return on our capital, whatever is the form of the investment. But then in September, again in the Capital Market Day, we will open a bit up more around where we see the main profitable growth and therefore investment opportunities being in the years to come. And we can then comment a bit more about this then. But yes, the answer to your question is we will consider that if good opportunities will be available, but in a very targeted and disciplined way.
Tapio Korpeinen: Maybe to the second point of your question there on shareholder distribution that obviously now the recent big investments coming into production first in Paso and then in biochemicals. And of course, that means improvement in cash flows and earnings. And therefore then, of course, over time, our objective is that the shareholders in a sense, get to enjoy that as well in terms of the sort of growth in distribution to the shareholders over time.
Operator: The next question comes from Charlie Muir-Sands from BNP Paribas Exane.
Charlie Muir-Sands: A couple of follow-ups, please, on topics that have already come up, if I may. The first one on the biofuels market and the situation there, it's obviously welcome to hear that the regulators are looking into some of those things that have been suppressing market prices. But do you also have any opportunity to try to get costs down. Can you remind us how much of your feedstock today you're externally sourcing and whether there's any opportunity to go back and ask for lower prices there? And then secondly, on Leuna. Can you just clarify the pace of the ramp up? Do you see that as more of an operational constraint or commercial or to put it another way, can you sort of give us some indication about how much of the nominal capacity you now effectively have sold or have committed to being able to sell to those customers that you've identified already?
Massimo Reynaudo: Very good. Thanks for your question, Charlie. About the first point on biofuels and cost-down activities, they are part of the nature of the business. So we are taking costs down in every possible occasions. And of course, when margins are stressed, it's an additional opportunity to -- or additional need to look into that. But that is normal activity. We have today a significant part of the feedstock feeding the Lappeenranta mill that comes from own sources. So that is, let's say, at least in part, is supporting the cost base of our business. But I would like then to extrapolate from that and go beyond this point because we have talked about Rotterdam earlier on. And this -- and feedstock supply availability, control of the value chain, our fundamental element for the future competitiveness, we see it as a fundamental element for the future competitiveness of this business. So this is really what we have focused upon and are the core of the concept we are developing for Rotterdam. So I took your question as an opportunity to characterize a bit more the fact that over there, we are not aiming to have standard feedstock fed into a standard technology because if we were doing that, we could not hop into much better performance than the market, which would not make the investment case interesting. We are aiming to hound feedstock coming from mostly intra -- controlled value chain and utilized through a distinctive and proprietary technology. So sorry for the bit of long-winded answer, but it was a point I was keen to clarify. Then when it comes to Leuna and the ramp up of what is influenced in the ramp-up. I would say that if I use your characterization, it is just a normal operational ramp-up. From a commercial standpoint, our opportunity pipeline is robust. And we do not have, I would say, concerns at this point in time around the ability to sell the production of the unit. Also in consideration, I would say, 2 factors. One, the capacity at the regime of the unit is 220,000 tonnes is sizable, but compared to the scale of the markets we are addressing, we are talking minus coal niche potentially. So we are confident, and we have it into, let's say, the agreements already signed with the contracts we have. We have confidence we can sell that capacity. So that is the first element. The second element, we are going into some technicalities, but the glycol -- monoethylene glycol we will be producing from a products standpoint, it is the same as the equivalent from fossil sources. So that makes it a dropping solution, which makes the adoption from customers very straight forward. And here, we come to the second part of your question, how much of the current output we have contracted. We are not aiming to contract the full capacity. That is a deliberate choice. We want to keep a certain part of the output, let's say, available because demand being pretty robust, that will give us the possibility to distribute the output on a broader customer base and maximize the profitability from that investment. So bottom line is we're confident on the commercial ramp-up. It will follow the operational ramp-up. And with all the elements we have right now, we have reasons to believe it will be an interesting and profitable business. Of course, a number of elements are -- start to be nailed down, and that's what we will learn along the way, but the confidence is there.
Charlie Muir-Sands: Fantastic. And just to follow up on one answer you gave to a previous question. You said you did not expect to achieve the 14% return on capital on day 1. You mentioned a number of sort of one-off extra thing burdens. But do you expect to earn the 14% return eventually on the €1.15 billion capital project, slightly on the original €750 million?
Massimo Reynaudo: No, that is on the current capital that goes with -- if that's a question, okay, I get it now, that refers to the -- well, the investment we will put into the construction of a biochemical business. But that -- in that calculation, we will take into consideration the real CapEx that went into that project and the original estimation of €750 million is not part of the considerations anymore right now for the reasons explained.
Operator: The next question comes from Patrick Mann from Bank of America.
Patrick Mann: Two questions. The one you said, Paso de los Toros hit its nominal capacity for a full month before shutdown. Can you just sort of give us a steer on how it's doing after the shutdown? Are you back to full capacity? Can we assume sort of where full capacity from here on out? And then the second question is you guys pointed out that the net debt did move a little bit higher, and I appreciate that there was the dividend payment in the first half of the year. But just thinking through the second half of the year, you've got sort of no major scheduled maintenance and sort of a teen run at production. How should we think about how the balance sheet will evolve here? And I suppose as a subpart of that question is, do we still have quite a large investment in working capital needed for Paso de los Toros and maybe for Leuna as well?
Massimo Reynaudo: Okay. Thanks for the question -- well, the questions. I will leave the second about the balance sheet and the net debt evolution to Tapio. I'll comment on the first one and the capacity before and after the shutdown. Yes, the ramp-up after the shutdown proceeded as planned, which means that in the immediate days after the shutdown, there's been a progressive ramp-up, but production is at capacity ever since quite some days. So we have no reasonable or no concern on that going forward. And then I leave the next question to Tapio.
Tapio Korpeinen: Yes. So when we look at the net debt and -- on one hand and then the sort of cash flow profile on the other, as you can remember, we had sort of significant increase in operating working capital in the first quarter of the year, then second quarter actually pretty sort of flat. We do have the second installment of the dividend that we will pay also during the second half of the year so that will sort of have an impact on the net cash. But then on the other hand, let's say, the improvement in profitability will obviously help and support cash flow compared to the first half of the year. As the volumes increase in the Paso de los Toros production, that, of course, does put some sort of need for additional working capital. But let's say, I wouldn't expect that to be any more as big as it has been during the beginning of the year.
Massimo Reynaudo: I'm mindful that we have used all the time that we have planned for this session. I want to take the opportunity to thanking everybody for having attended and participated to this session, renewing the invitation to meet either personally or online on the 5th of September. Thank you very much. Have a nice day.